Operator: Welcome ladies and gentlemen to the Bird Construction Fourth Quarter 2017 Financial Results Conference Call. We will begin with Mr. Ian Boyd’s presentation, which will be followed by a question-and-answer session. [Operator Instructions]. Before commencing with the conference call, the company would like to remind those participating that certain statements which are made express management’s expectations of estimates or estimates of future performance and thereby constitute forward-looking statements. Forward-looking statements are necessarily based on a number of estimates and assumptions that while considered reasonable by management are inherently subject to significant business, economic and competitive uncertainties and contingencies. In particular, management’s formal comments and responses to any questions may include forward-looking statements. Therefore, the company cautions today’s participants that such forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause the actual financial results, performance or achievements of the company to be materially different from the company’s estimated future results, performance or achievements expressed or implied by these forward-looking statements. Forward-looking statements are not guarantees of future performance. The company expressly disclaims any intention or obligation to update or revise any forward-looking statement, whether as a result of new information, events or otherwise. At this time, I would like to turn the conference over to Mr. Ian Boyd, President and CEO of Bird Construction. Please go ahead, Mr. Boyd.
Ian Boyd: Thank you. Good morning everyone. Thank you for taking the time to participate in our fourth quarter and fiscal 2017 conference call. With me today is Wayne Gingrich, our CFO. In the fourth quarter the company advanced progress in the execution of our Build Bird five-year strategic plan which features three core pillars, including build the business, build the team and build relationships highlighted by several key milestones. The company’s strategic focus as detailed in our build the business goal is to achieve diversified and profitable growth by securing projects and markets with higher profit margins which in 2017 and 2018 will consist of P3 and large design build projects in the instructional sector, as well as mid-stream capital projects in the energy sector in Western Canada where the company could self-perform higher proportion of the scope of work. In Eastern Canada Bird Heavy Civil will continue to focus on mining support, environmental projects on mine sites in the resource sector. In the fourth quarter the company built on its success and diversification with the award of a project in the nuclear market, a first in the history of the company. Also it was selected as preferred performance for a P3 project in the environmental sector, which speaks to the company’s expanding expertise and portfolio in this specialized market. During the fourth quarter of 2017 the company generated net income of $4.7 million and construction revenue of $377.7 million compared with net income of $5.8 million and $430.7 million of construction revenue in 2016. The year-over-year decline in the amount of the fourth quarter net income is reflective of the lower construction revenues in the quarter. In 2017, the company generated net income of $11.6 million and construction revenue of $1.42 billion compared with net income of $25 million and $1.59 billion of construction revenue in 2016. The decrease in 2017 earnings is reflective of the low volume of industrial project backlog carried into year as several large industrial projects were substantially completed in the fourth quarter of 2016. In 2016, the company benefitted from a higher proportion of higher margin industrial work than in 2017, which has shifted to predominantly commercial and institutional projects. In 2017, the company secured $1.47 billion of new contract awards and change orders which is 38% higher year-over-year, and executed $1.42 billion of construction revenues. The success in securing new work through the year contributed to a backlog of $1.19 billion for the company at December 31, 2017, an increase of $49 million from the $1.14 billion backlog recorded at December 31, 2016. The company has completed $12.1 million of cash equity investments in fiscal 2017. These investments generally relate to fulfilling our obligations as an equity partner on multiple P3 projects and is an example of how a portfolio of these projects are moving through the project lifecycle. The cash investments also include investments made in the Stack Modular Group of Companies located in Alberta and Hong Kong with operations in China as announced in the third quarter of 2017. Our participation as a partner in the concessions related to P3 projects supports our core construction services and serves to diversify our earnings base by generating income from the investment. It also provides the opportunity for the company to sell its equity position in the secondary market once the projects are de-risked, thereby freeing up additional capital to invest in new P3 projects in the future. Through its equity investments and entities account for using the equity method in fiscal 2017 the company has realized equity income of $1.8 million, compared with equity investment losses of $0.1 million recognized during fiscal 2016. At yesterday’s Board of Directors meeting, the board declared monthly eligible dividends of $0.0325 per common share for March and April 2018. 12 months ended December 31, 2017 compared with 12 months ended December 31, 2016. In the fiscal year end December 31, 2017 the company recorded net income of $11.6 million and construction revenue of $1.42 billion compared with net income of $25 million and $1.59 billion of construction revenue respectively in 2016. In the current year construction revenue of $1.42 billion was $171.5 million or 10.8% lower than the $.159 billion recorded in 2016. As expected the company’s industrial revenues declined relative to those recorded in 2016, primarily owing to a reduced work program resulting from the successful completing of several large scale projects in late 2016 and the general stated market in a low commodity price environment. Overall the company continues to successfully execute on its significant commercial and institutional work program. The company’s gross profit of $74.4 million in 2017 was $17.3 million or 18.8% lower than the $91.7 million recorded in 2016. In 2017 the gross profit percentage of 5.2% compares to 5.8% recorded in 2016. During the year cost estimates were increased on a P3 project that served to negatively impact gross profit in 2017. The project achieved substantial performance as defined in the provincial lien legislation, but failed to achieve substantial completion from a contractual standpoint. As a result, the company took a provision to cover additional escalation costs and financing costs from lenders that would result in the first quarter of 2018. The company has taken appropriate measures and expects to achieve substantial completion in the first quarter of 2018. In addition the decrease in the amount of gross profit in 2017 is also reflective of the low volume of industrial project backlog carried into 2017, as several large industrial projects were substantially completed in the fourth quarter of 2016. In 2016 the company benefitted from a higher proportion of industrial work than in 2017, which was predominantly characterized by more commercial and institutional projects. Current year results were further negatively impacted by carrying the extent associated with key resources required for future work identified in the industrial market. Income from equity accounted investment in 2017 was $1.8 million compared with a loss of $0.1 million in 2016 as P3 concession entities became profitable in the later stages of the projects as construction reached one year completion in 2017. In 2017 general and administrative expenses of $59.8 million or 4.2% of revenue compares with $58.8 million or 3.7% of revenue in 2016. In 2017 the company spent $5.5 million in third party pursuit costs, which is $3.2 million higher than the amount recoded in 2016. However, this is more than offset by a reduction of employee compensation expense. Year-over-year increase in expenses is primarily driven by a foreign exchange loss and transaction costs related to the investment made in Stack. Finance income in 2017 of $4.1 million is comparable to the $4.5 million recorded in 2016. Finance and other costs of $3.7 million in 2017 were $0.7 million higher than the $3 million recorded in 2016. The increase is due to the increase in finance costs for capital purchases and interest costs associated with the total returns to our program. In 2017 income tax expense of $5.3 million was $4 million lower than the $9.3 million expense recorded in 2016 consistent with lower earnings in 2017, but does represent a higher effective tax rate primarily due increases in non-taxable items. Three months ended December 31, 2017 compared with three months ended December 31, 2016. During the fourth quarter of 2017 the company generated net income of $4.7 million and construction revenue of $377.7 million compared with $5.8 million and $430.7 million respectively in a comparable quarter of 2016. Decrease in the mount of fourth 2017 earnings is primarily due to the increase in pursued cost partially offset by an improvement in gross profit realized on lower quarterly construction revenues. Construction revenue of $377.7 million was $53 million or 12.3% lower than the $430.7 million recorded in the fourth quarter of 2016. Decrease in construction revenues has been driven by lower revenue attributable to our P3 work program and substantial completion was achieved on three projects through to the end of September 2017, combined with the reduction in the company’s industrial work program. As expected the company’s industrial revenues declined relative to those recoded in 2016 primarily due to the reduction in capital spending programs of many of our industrial clients in response to low commodity prices. The company’s fourth quarter gross profit of $24.5 million was $0.8 million or 3.5% higher than the $23.7 million recorded a year ago. Although 2016 gross profit included $3.9 million impairment on equipment, there is no impairment in 2017 as utilization of the equipment fleet increased year-over-year. The company’s fourth quarter 2017 gross profit percentage of 6.5% compares to 5.5% recoded a year ago or 6.4% adjusting for the impairment recoded in the fourth quarter of 2016. The increase in gross profit percentage in the fourth quarter of 2017 is primarily due to the improving total gross profit realized on lower quarterly construction revenues despite the company recording a provision on the P3 project to cover the additional escalation and financing cost from lenders that would result in the first quarter of 2018. While the company achieved substantial performance in late December as defined in the provincial lien legislation on this project, it did not achieve substantial completion from a contractual standpoint. Income from equity accounted investments was $0.2 million in the quarter, which is comparable with income of $0.1 million reported in 2016. In the fourth quarter of 2017 general and administrative expenses of $17.2 million or 4.6% of revenue was $1.4 million higher than the $15.8 million or 3.7% of revenue recorded in 2016. In 2017 the company spent $2.1 million in third party pursuit cost which was $1.3 million higher than the fourth quarter of 2016. Finance income in the fourth quarter of 2017 was $1.1 million and was comparable to the $1.2 million recorded in the same period of 2016. Finance and other costs of $1.3 million were $0.6 million higher than the $0.7 million reported in the comparable period of 2016. The increase is primarily due to the increase in interest expense on non-recourse project financing. The fourth quarter of 2017 income tax expense of $2.7 million was comparable to 2016. Outlook: I’ll now provide some brief remarks about our outlook for fiscal 2018. At December 31, 2017 the company was carrying a backlog of $1.19 billion, representing an increase from the $1.14 billion carried at the end of 2016. Backlog is stabilized in 2017 after a decline through 2016 as a result of securing several key new contracts such and the Mental Health Facility and Energy Centre at the Royal Columbian Hospital and more recently the Niagara Falls Entertainment Center. In addition, the company has been successful in securing smaller but strategic projects including the biosolids management facility in Hamilton. The current backlog is predominantly characterized by institutional work, a result of securing a significant number of new contract awards in the sector. A backlog attributable to the industrial and heavy civil work programs increased through the course of 2017. It remains low from a historical perspective as clients continue to have a measured approach to capital spending in response to lower commodity price environment. The company is cautiously optimistic in its outlook for the industrial and resource sectors in 2018 and expects activity to progressively increase through the course of the year. Bidding activity in the midstream oil and gas market in Western Canada and for mining opportunities in Eastern Canada increased in 2017, a trend anticipated to continue in 2018. While the environment remains challenging and high competitive, there are an increasing number of opportunities which should support an overall increase in the level of activity in 2018. The company is also beginning to realize success in its efforts to diversify its industrial work program, successfully securing administration building and warehouse facility with Bruce Power in Kincardine, Ontario, as well as several mechanical process contracts, including a maintenance contact for an oil sands client in Northern Alberta. In Eastern Canada the company has been successful in securing and executing mining related work for the new client and has experienced an increase in mining activity generally through the course of 2017. With respect to the commercial and institutional market sector, there is a healthy pipeline of opportunities anticipated in 2018 characterized by numerous P3 projects. As of December 31, 2017 the company was actively pursuing seven P3 projects. In addition there is one P3 opportunity that the company has been shortlisted on and is awaiting the issuance of the request for proposals and two more that the company has responded to the request for qualification and is awaiting confirmation of the shortlist of proponents. These are all indications that the anticipated activity in this market sector is materializing generally as expect. In addition to the growth and volume of the work expected from this activity, the company anticipates that margin opportunities in this sector will also improve. Looking towards 2018 the company expects to benefit from its strong position in the P3 market, although revenue growth in this sector will be impacted due to the expansion of bit commission dates for several P3 projects. The company is experiencing tangible progress in our diversification efforts, particularly for our industrial resource and modular service offerings. Overall the company anticipates moderate revenue growth in 2018 coupled with third party pursuit costs at historically high levels, a byproduct of the high level of P3 activity combined with the pursuit timeline for several projects being expended to later 2018. Equity income resulting from our investments in P3 projects is expected to contribute positively to the year. The company will continue to make investments in both people and technology as it executes on the Build Bird strategic plan with diversification of our earnings base remaining a key area of focus. While management does not expect earnings in 2018 to outpace the unadjusted earnings achieved in 2016, the company’s financial performance is anticipated rather to improve markedly relative to 2017 as the company continues along its path of rebuilding its earnings base. This concludes the prepared remarks section of the conference call. I’ll now turn the call over to the conference call operator who will take your questions in turn.
Operator: Thank you. [Operator Instructions]. The first question comes from Yuri Lynk of Canaccord Genuity. Please go ahead.
Yuri Lynk: Hey, Good morning.
Ian Boyd: Good morning Yuri.
Yuri Lynk: Is it possible to quantify the cost reforecast in the fourth quarter?
Ian Boyd: Relative to the P3 project?
Yuri Lynk: Yes, yeah.
Ian Boyd: Yeah, I would say, it’s obviously impacting enough for us to have it as a reason we didn’t meet our guidance I would say, but I wouldn’t call it significant. Overall there are commercial issues with respect to that project and I don’t really want to prejudice those discussions as we move along.
Yuri Lynk: Okay, I’ll make my own assumption on that. Anything, how do you feel about 2018 compared to the last time we spoke? It doesn’t sound like the outlook has changed too much, but it’s very qualitative. So just any additional thoughts on how you are feeing – how your thoughts have evolved on 2018 if at all?
Ian Boyd: Yeah, I think our thoughts are relatively the same as when the last time we spoke, which would have been in November. So when we would have reported our Q3 and given the guidance, there are guidances very similar, because we feel very similar obviously about where we were headed in 2018. I do think that we are still as we put in our guidance, cautiously optimistic about the industrial and resource sector. We are seeing more activity there and a lot of positive signs. Some of the challenge that still exists with the industrial and resource, they tend to be more annual work programs at this point, so it’s smaller and shorter in duration. Now there are some other projects that seem to be emerging that would be of longer term that we are excited about and we’ll see how they evolve in the early part of 2018 and see whether or not they can become real opportunities nearing maybe mid-year to late in the year. That would be a little different from what we’ve seen in say the last three years where you’ve seen very, very short cycle, smaller work programs. I would say the other thing is that there certainly seems to be more commitment from our industrial and resource clients to be able to spend. Meaning they have a certain amount of money that they spend, they seem confidence in spending it. Some of that is definitely going to be more in the maintained repair and operations for the MRO component of things in the Western Canada and I would say in Eastern Canada from a mining stand point there just generally is a lot more activity and a lot more opportunity than it was a year ago. So there’s quite a bit of positivity I would say from our standpoint. Of course we include the cautiousness simply because it’s probably going to take a little bit of time to emerge in terms of realizing success, in adding backlog and then ultimately being able to see results. What we – I see it as a slow build through the year to get progressively better in those two markets. So overall with the level of P3 activity and add in now that you have a little bit more confidence in your industrial and resource markets, I would say that our guidance is – we are pretty confident with respect to that and feeling very similar to what we did in November.
Yuri Lynk: Okay. On the MRO opportunity in the oil sands, I mean that’s traditionally not been a huge part of your business. I know you are trying to break into that market organically. How do you feel you are positioned today and do you think you need to make an acquisition to more fully penetrate that market?
Ian Boyd: Yeah I would say – still right now, I would say still our approach to do it organically and I think that we are making inroads. One of the things that we – at least our beliefs and our experience, particularly with our energy clients in Western Canada. It tends to be very much wanting to work more with contractors that they have a track record with, with respect particularly to safety and the quality side of things and being able to deliver those projects. So what we are seeing is from an organic standpoint our ability to be able to grow our own business there is maybe even happening at a faster pace than maybe we even anticipated in the sense that we are getting more and more opportunities and typically from our core clients that are looking to give us opportunity to be able to build additional services, because ultimately those clients do not like subcontracting. They like self-perform more so where with the contractor they view the subcontracting as higher risk, particularly from a safety standpoint. So, I think we will still very much concentrate on the organic. We are looking at tucking in acquisition opportunities and it would be – especially from my view it would be for specialized services and we continue to kind of look at where the opportunity is to add and tuck something in there that can – that we feel as though can be an advantage to us and something that our clients are looking for and it would be more in the self-performed nature of work.
Yuri Lynk: Okay, thanks helpful. I’ll turn it over. Thank you.
Ian Boyd: Okay thanks Yuri.
Operator: Our next question comes from Matt Borus of Raymond James. Please go ahead.
Matt Borus: Good morning guys.
Ian Boyd: Good morning Matt.
Matt Borus: Regarding the P3 project that you took provision on, we are getting close to the end of Q1. You still expect this to be finished Q1 and kind of how is this progressing?
Ian Boyd: Yes, we do. And I mean part of the objective of putting in where you achieve substantial performance from a lien legislation standpoint is to really indicates the project had advanced to the point where we certainly believe that we could achieve substance completion from a contractual standpoint. We did not and we have ongoing conversations, I guess negotiations if we will with our client in that regard and we expect that it will still be achieved before the end of Q1. So that’s how I would still phrase that and characterize that as being what we expect today with respect to that particular project. So still pretty confident, we’ll get there, and it’s obviously in my mind has been very close since the end of 2017. These projects are complex and the turnover and handover are complex associated within them and there is lots of moving parts with respect to those contracts. So untimely that’s where we are at. So very, very close even at the end of 2017, sort of expect that we will get it before the end of Q1, 2018.
Matt Borus: Yeah, that’s helpful. Is it kind of a number of minor defects that’s delaying the completion or is it something that normally you put in that?
Ian Boyd: Yeah, I mean I would put it certainly in the context of minor. As I said when you put in the context of achieving substance performance from a lien legislation, all life safety systems are mad at that point in time. You have occupancy in the facilities. So you’ve met the outline requirements that I’ll call it a normal project within the deemed to be substantial complete. With P3 projects it tends to be a little bit more complex and so that’s really what it amounts to as I would argue, its smaller in nature of thing and plus there is some lingering commercial issues between ourselves and the client, but that ultimately impact how these things get handed over.
Matt Borus: Yeah, okay, and you didn’t see the same sort of inflow of cash that you typically get in Q4. Was this due to the delayed completion here. What was this result of?
Wayne Gingrich: I would say on the cash flow, typically fourth quarter is our strongest quarter in year and then Q1 and Q2 we see cash generated from operations typically being negative and then we make it back up in the second half and I think that was just normal course of business. We did certainly have a strong collection in Q4 but it wasn’t anything unusual.
Matt Borus: Okay. Alright, that’s helpful, and finally if you can give an idea of how much of your equity accounted income is from P3 versus Stack and what you kind of expect from this going forward?
Ian Boyd: Yeah, all the equity income at this point is P3. At Stack, where we acquired Stack and closed it was in Q3, so late in the year and untimely yeah pretty nominal from a standpoint of any impact from Stack would have on 2017.
Matt Borus: Okay great. Thanks helpful. I’ll turn it over. Thanks.
Operator: Our next question comes from Michael Tupholme of TD Securities. Please go ahead.
Michael Tupholme: Thanks, good morning.
Ian Boyd: Good morning Michael.
Michael Tupholme: Can you talk a little bit about the gross margins? They were actually pretty strong in the fourth quarter, notwithstanding the provision which you took, which you described as relatively minor, but I mean it would have been even a bit better without that. So I know sometimes at year end we can see, margins can be a little higher towards the end of the year. But how should we think about the gross margins going forward relative to what we saw in the fourth quarter.
Ian Boyd: Well, it would be – I guess it would be our expectation that as you forward that we would expect more of the same in terms of the overall gross profit. Like I don’t – I think that the work that we’ve secured and is in backlog is work that’s similar than what we executed in 2017. I think what we hope is that you’ll get and expect I guess – to a certain extent you will get more industrial work. Now it’s still highly competitive in that market, still in the resource market, so whether it’s mining in Eastern Canada or even industrial work at West for our energy clients, ultimately is still highly competitive, but that market still tends to offer up better margins than ultimately what you get in the institutional and commercial side of things. So our hope is as you start to build momentum in the industrial and resource, you added to what we have in our institutional as we expect now that we would expect – it certainly would be going forward similar to what we have today and hopefully that means we can build it and its improved nearing the end of year type of things.
Michael Tupholme: Obviously subject to normal seasonality. I mean Q1we usually see that down a bit.
Ian Boyd: Yeah, absolutely yeah, yeah. And that still will be the case. I mean there still is an element, certainly in the industrial and resource that is more seasonal than obviously our institutional or commercial work program, so.
Michael Tupholme: Okay. Can you talk a little bit more about the timing of some of the opportunities? So I guess both on the industrial side and on the institutional side. I mean I think you touched on it with respect to industrial, where you sort of described it as a slow build throughout the year. So I mean if that makes sense, but maybe if you can just elaborate on that if possible. But also on the institutional side it seems like there was some slippage in some of the opportunities you are pursuing. Is that characteristic of the market in general or are these sort of specific to those particular projects and just trying to figure out where we are at I guess with some of the infrastructure spending. I mean different companies seem to be saying different things as far as how quickly this rolling out and whether we are seeing it yet or whether there is still sort of delay and unsure when it’s going to come through.
A - Ian Boyd: Well I think that what we are experiencing is like if you look at the infrastructure money that was promised overall. If you had just looked at that broadly, certainly post secondary educational money, particularly directed towards innovation engineering, those sorts of facilities right across the country that has certainly emerged and emerged pretty quickly. Environmental I think is picking up and we are seeing more and more opportunities in the environmental side of things. I don’t know that I can necessarily equate that directly to the federal infrastructures program, but I presume that is where some of that impetus money is coming from. And then the one area that we haven’t – and transportation has been pretty strong obviously and I think what was committed before, the federal government has carried through and continued to fund those transportations. So those are all I would say actively happening in the infrastructure spend. What probably hasn’t happened to the same extent is indigenous, which we expected to have more opportunity in the indigenous side of things. And it just – that hasn’t materialized, but if you talk strictly about our P3 program, what we are really experiencing is I think generally with the level of activity in P3 program I think you are seeing just an extension of tender timelines, which I don’t think we’ve seen in the past to the same extent. So you may have the odd project in the past on the P3 side of things that would have extended out. But by and large these are very good regimented scheduled procurements and normal circumstances and our experience don’t really extend out. We are seeing generally a trend of them extending out a little bit more and I would say transportation is a primary example of ones that we see extending out further. There are even some on the social side that have extended out further and it maybe one, two months, but ultimately one, two months extend that timeline of submission and then there is probably three months after you actually submit your proposal before you find out who's preferred proponent and then ultimately another six weeks to eight weeks after that before you can achieve financial close. So when you move those things out, they do actually have some impact in terms of what you will see revenue wise in the year. So that’s kind of what we are seeing in our work program, primarily P3 are the ones that have moved more so than I think we’ve experienced in the past.
Michael Tupholme: Do you have any thoughts as to why this is happening? Is it the volume of projects that are coming to market and then that’s causing this, and I guess secondly like maybe this is concerning. Do you think there's a possibility that there is even more slippage on some of these projects that have already been delayed?
Ian Boyd: I think there is a factor of volume. I think if you now look at the transportation side of things plus the sheer size and complexity of these transportation projects. So if just look at Hurontario LRT, that one is one that we're pursuing right now. That is a very complex project that has lots of moving parts in terms of how you prepare your proposals. So I suspect a little bit of just the complexity and therefore as you go through the tender process and the proponents are going after that type of work or going after the project, inevitably there is questions that are asked, either of a technical or a commercial nature that caused that client to be able to reevaluate, okay I wasn’t perhaps thinking of that in those terms and then ultimately it requires them to reevaluate. I think there is some components of that where they are reevaluating what they are asking for and some aspect of the design or maybe a commercial aspect of the project agreement. So I think that naturally happens. I do think the level of activity is also a factor, especially in the transportation with just the sheer number of projects that are out there and the ability for the clients be able to mange that sheer number in the complexity of those projects, so I think that also is a factor in it. And then otherwise I think that just generally speaking the procurement agencies have been more willing to – I’ll call it ‘delay’ some of these, to perhaps make sure they got it all right before they actually proceed with closing of the RFPs. So there is probably a lot of different factors, but level of activity and complexity of these projects are probably the two biggest factors in my mind.
Michael Tupholme: And assuming things do progress as you would expect from this point forward with the projects you are in pursuit of, you know it seems like the pipeline is pretty slow. I think you talked about 10 projects, if I’m adding these up properly and assuming they do progress as expected, what would be the timing, you said that you're successful, what would be the timing on beginning to see these awards come through for Bird.
Ian Boyd: Yeah, I think based on the procurement timelines that we have right now and it’s primarily second half of ’18 that you start to see it.
Michael Tupholme: Okay. And then just two other quick ones here. Equity income in 2018 from the P3’s, what would you expect that be and is it quite lumpy or is it smooth though the year.
Ian Boyd: I would say its relatively consistent, that’s our expectations sort of year-to-year and its generally not lumpy, although they do have a different, I’ll call it profile to them, so the early parts of the construction project they in fact are negative and then ultimately as you are getting near to completion they turn positive and then they continue and then they are very consistent after that. So it kind of depends on the lifecycle of where you are at with your particular project and so – but given what I know about our mix, currently I would expect it to be relatively consistent year-over-year.
Michael Tupholme: Okay, and then third party pursuit costs in ’18 versus I think it was $5.5 million in ’17.
Ian Boyd: Yeah, yeah I think we are expecting them to be higher. And it won’t – you know it’s not doubling, but we expect them to be higher. It’s very fluid though because as these things move along, if they get extended that usually costs us more money. Quite frankly that’s what happens, so it’s hard to sort of predict if they haven’t – you know some of these moving in a little bit more, that’s a factor in it. If some of these get delayed in terms of the anticipated opportunities that we didn’t expect, that we haven’t even gone through the qualification process right at this point, but if they get a little bit moved, if they get the qualification and proposal but they move a little later in the year, then that obviously limits that. So I think even this year we anticipated may be even higher than $5.5 million and we didn’t – ultimately we spent $5.5 million. So our anticipation based on what we understand today would be higher, but it is very fluid.
Michael Tupholme: Alright, thank you very much.
Operator: Our next question comes from Maxim Sytchev of National Bank Financial. Please go ahead.
Maxim Sytchev: Hi, good morning.
Ian Boyd: Good morning Max. How are you?
Maxim Sytchev: Good, good, good. A quick question just to follow up on the P3 project that gave some problems. So in Q1 should we expect some sort of negative impact or everything has been provisioned for in Q4?
Ian Boyd: No, we expect that there shouldn’t be much negative impact in Q1. I think we got the provision as we need to and again we’ll have some commercial issues that need to get resolved with this client. That will take some time and that’s a little bit of a nature of maybe P3 or just more complex projects, because occasionally you are going to get – there are some commercial issues that are going to cause you maybe some, I’ll call it some short term pain but ultimately you got to resolve those over course of time which may – we are generally pretty conservative. Hopefully that means that we have a positive outcome, but it will take some time to get to that point. So to answer your question I don’t think there is – I think we’ve got to provide it for in our Q4 results.
Maxim Sytchev: Okay and is there any potential negative spillover effect into the OEM portion of this project. So just trying to thinking about your internal IRRs on this thing.
Ian Boyd: No, no. I mean that – yeah this is I will call it normal course in the sense that we are not in any point based on the project agreement having any concern that there is an impact on our equity return on that.
Maxim Sytchev: Okay, that’s helpful. And then in terms of when you look at the industrial space right now, you know obviously the sentiment is certainly feeling better. Do you mind maybe differentiating between kind of mining base metals mostly and maybe some pressures versus oil sands. What are you seeing in terms of the pipeline of opportunity and the potential timing on these things hitting?
Ian Boyd: Yeah, I would say, so if we just sort of characterized industrial less your energy market, I think there are opportunities right now that we are in a position that we would have success early in the year that are maybe of a more sizable nature that could make a different, meaning more immediately in the backlog and then ultimately the revenue that you run through. I think that will show up more so in the second half. I think there are some very significant projects. So even LNG Canada, which of course we have again the combinations project that we’ve done a design on. FID is supposed to come in October of '18. There may be some preliminary work that happens on that with our team prior to that, but I don’t think you will see a ton of revenue there and obviously we don’t know whether it'll get positive FID or not. And then there is some other sort of larger opportunities that seem to be emerging right now that I suspect that by the time you go through the procurement process it will be very late in ’18 before you see some of that. But I think you’ll just see generally more activity. You will see some of that happen earlier in the year which is still, I’ll call it little bit of that shorter-cycle nature of things in the energy markets, but I think it will overall be better and then I think you have the opportunity or we should be in a position to have the opportunity to maybe build maybe a more significant backlog nearing the second half of end of 2018, that’s kind of how we are looking at right now based on what we know. If you look at our resource sector more so in Eastern Canada for the mining sector, I still think that tends to be more annualized work programs as opposed multi-year contracts and I’m not getting the sense that that’s going to change necessarily in 2018. Although there are a couple of opportunities related to that, that could depending on how ultimately the client awards the work. Like they may come out with a two year program for mining support work, ultimately when they go award the contact they may only award it for ’18 with an agreement on what ’19 looks like or something like that, that’s what we are seeing more so of. So, I still think that more activity in a resource sector in ’18, we are seeing that, so that’s all positive. I still believe that it will be harder to build backlog year-over-year, in our heavy civil business because it’s still a little bit more annualized work program.
Maxim Sytchev: Okay, that’s helpful and so when you talk about the earlier shorter cycle projects in the west, is this again mostly on the producer side or is it mid-stream type activity work?
Ian Boyd: We are seeing more midstream I would say right now and I think maybe on the producer side it becomes a little later in the year is how I would look at it. More midstream and more maintenance repair operations for our core clients there. We are doing more and more of that work which again we are doing organically. So it’s build it very methodically and make sure that we can deliver for our clients, but then added to that at this midstream kind of oil and gas opportunities that we see.
Maxim Sytchev: And in terms of you know thinking about organically building that, that capability, are you comfortable with the risk profile that your kind of underwriting by penetrating this markets, maybe any commentary there?
Ian Boyd: Yeah, you are talking, especially with respect to say mechanical process MRO related work.
Maxim Sytchev: Yeah, yeah.
Ian Boyd: Yeah we are, and I would say we’ve – it hasn’t been suddenly we are doing it in mid 2017 and 2018. We built this up over a period of time since we acquired Nason. So we’ve done it, I would say typically Bird fashion, a very measured approach. Our client relationships are long standing in the energy markets. In Western Canada the last thing we want to do is be able to take on work that we can’t execute and so we are very, very cognizant to that. So I would say we’ve had a very measured by growing approach to doing that work and I would say definitely we’ve I would say assessed the risk and now are managing that risk and comfortable with that risk.
Maxim Sytchev: Okay, that’s helpful and then on the self-performed part of the sort of interest, what exactly you're looking for? Is it mechanical, electrical, what cement – where you focused?
Ian Boyd: Yeah, primary focus is mechanical process.
Maxim Sytchev: Okay.
Ian Boyd: Yeah, so pricing and related work. We also will combine that. Like today if we’ve got – let’s just say we have – we’ve done a lots of work for [inaudible] in the past. Let’s just say its upon station today and we would do our own civil work, our own concrete work, we would do our own steel work associated with that generally speaking, mechanical process. We have the ability to do our own electrical work, often times we will subcontract that out, because it tends not to be the immediate focus for us and also it’s a little bit more readily available in a subcontract market. So from a competitive standpoint you can probably subcontract perhaps more confidently than you can self-perform. So definitely – for us the real focus is mechanical process work that enables us to more fully serve our clients and so that’s what the growing part of our business, as well as what – we’ve also had the civil operations. We’ve added sort of earth moving to that and now the mechanical process is the next step of adding to our self-performed services out there.
Maxim Sytchev: Do you find that there is a lot of other potential competitors looking at the same sort of space as a growth vertical. I mean just the ability to securer some of those targeted assets, what’s your confidence around that?
Ian Boyd: I would say it’s pretty confident. We were successful in securing their first maintenance contract during the year and that’s with a core client. Again I think that if you have a track record of being able to deliver for these core clients, then you are going to get the opportunity. I think they want to see companies that they have a track record would be successful and they are willing within reason and in a measured approach even from their own standpoint, called it risk management from their standpoint, to give you – you know to kind of allow you to kind of build up that work program with them, but in a very measured approach and I would say that’s what’s happen. So yes, there’s lots of completion, but I also think we have an insight track, just given our longevity and track record we have with lot of those core clients.
Maxim Sytchev: Okay, that’s helpful. And then the last question, just how should we think about CapEx for this year, next and sort of the follow-up question is on as the special industrial cycle in flats and will have a good visibility on the P3 side. What is the thought process around the dividend policy over the medium term? Thanks.
Ian Boyd: Yeah, so CapEx, let’s start with that. CapEx I would say that we always have maintenance CapEx that we have and that’s pretty consistent year-to-year-to-year, and then we have – and then part of that maintenance I would argue is even renewal, and we’ve invested a little bit more. You saw in 2017 than we had in prior years. I think that was a little bit of catch-up to just on the renewal side of things. So you don’t want to have an older fleet, you want to be able to manage a mix of your age of fleet and how much maintenance it requires. So we did a little bit more investment associated with that. So I would anticipate that to be pretty similar on a year-over-year basis, I would expect. What we don’t know is what we call project specific CapEx. So if there is a particular project that requires us to – that we perhaps didn’t know at the time when we were doing our planning, whether or not that project is going to actually coming to fruition or be an opportunity, then there is some project specific CapEx and that’s a little harder to read in terms of what’s going to happen with respect to that. But I think overall our CapEx will remain pretty similar and then we’ll wait and see if we can get a little bit more activity, and then you’ll see a little bit more CapEx. But I don’t think it’s a jump, a huge jump in the year, it’s not my anticipation in 2018.
Maxim Sytchev: Okay and then on the dividend policy, if you don’t mind.
Ian Boyd: Yeah dividend policy right now, I think we are comfortable with where the dividends at. We are always interested in ensuring that you know shareholders, the return that they are looking for. I think from our perspective we look at it and try to build again, rebuild that earnings base. ’17 was a very difficult year, we anticipated it. We made our decision in late 2016 with respect to that divided and I think as you start to build more confidence, then you get more confidence in terms of being able to reassess that and hopefully you know as part of an overall strategy and that could include some version of dividend increase or could do a share buyback or something of that nature. But I think you need to get through the first part of 2018 here and try to get a little bit more read on what’s happening before you make any decision with respective to that.
Maxim Sytchev: Okay, that’s very helpful. That’s it from me. Thank you very much.
Ian Boyd: Okay.
Operator: This concludes the time allotted for the question and answer session. I would like to hand the call back over to Mr. Boyd for any closing remarks.
Ian Boyd: Thank you again to everyone for your participation in Bird Construction’s 2016 fourth quarter conference call. I hope we have been able to provide you with some further clearly to our fourth quarter and fiscal 2017 results and our expectations for 2018. As always, we are available if additional information is required, so please do not hesitate to get in contact with us at our office. Thanks. Have a good day.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.